Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to Enfusion's Second Quarter 2022 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I'd now like to turn the call over to Ignatius Njoku, Head of Investor Relations, to begin.
Ignatius Njoku: Thank you. Before we begin, I'd like to remind you that today's call may contain forward-looking statements. These forward-looking statements are subject to numerous risks and uncertainties, including those set forth in our filings with the SEC and are available in the Investor Relations section on our website. Actual results may differ materially from any forward-looking statements we make today. These forward-looking statements speak only as of today, and the company does not assume any obligation or intend to update them following today's call, except as required by law. In addition, today's call may include non-GAAP measures. These measures should be considered as a supplement to and not as a substitute for GAAP financial measures. Reconciliation to the nearest GAAP measure can be found in today's earnings press release, which is available on the company's website. Hosting today's call are Thomas Kim, Enfusion's Chief Executive Officer; and Steve Dorton, Enfusion's Chief Financial Officer. With that, I'd like to turn the call over to Thomas to begin.
Thomas Kim: Thank you, Iggy, and thanks to everyone for taking the time to join us. I'm pleased with our execution for the second quarter, exceeding our revenue and EBITDA expectations. We continue to drive higher revenue growth along with healthy profitability. We continue to bring on higher ACV clients across the world. And in the quarter, we brought on another 7-figure deal with a client that is implementing our end-to-end portfolio management and OEMS solutions. We more than doubled our signing of institutional asset managers from last quarter, and we continue to diversify our client base by signing the more high-value conversions that involve displacing legacy systems than we ever have. In fact, we grew bookings for new client conversions by 63% year-over-year. These results not only demonstrate the persistent strength of our client demand, but also the resiliency of our global business model, even while operating in an environment with increasing market volatility. As we have seen in previous periods of market volatility, investment funds that judiciously manage cost measures with key and impactful investments in technology transformation are more durable and better able to minimize margin impact. As a result, we're seeing strong demand for our platform as evidenced by our robust pipeline that is up 40% year-to-date. I'm also excited about the launch of the Enfusion Express, a lightweight version of our OEMS solution, which allows us to further unlock new TAM, advance the widening of our competitive moat, and expand our ecosystem. I'll share more details on this in a moment. Overall, the results of this quarter demonstrates how we are successfully leveraging the long-term structural advantage we have in our ongoing execution against our strategy of moving upstream to larger fund managers and institutional asset managers, unlocking new and adjacent TAM, and expanding our global presence. A major component of this advantage, which has been propelling our success, is the mission-critical nature of the cloud-native SaaS end-to-end platform delivered with both a differentiated approach and capabilities across portfolio management, real-time accounting, trade execution, order management, performance management and attribution, portfolio risk and analytics, data management and tailored managed services. These are directly helping our clients improve transparency, productivity and efficiencies that drive more informed decisions, which impact their ability to continuously rethink how they generate alpha for their clients. With that said, I'm excited that Enfusion is firing in all cylinders. The strategic investments we've previously made are now delivering not only operating leverage and cost efficiencies as expected, but also steering us in a direction to continuously elevate the level of operational excellence that we strive for, as part of the overall client experience. Our accomplishments this quarter are proof points that Enfusion continues to be a unique combination of high growth and profitability within the SaaS space. This is further supported by the fact that the investment management industry continues to be in the early innings of its digital transformation and Enfusion is well positioned to be at the forefront of this technological shift. Now let's dig a little deeper into the results. Second quarter revenue grew 38% to $36.5 million, reflecting robust demand across our cloud-native software and managed services offering. We generated a record ARR of $148.7 million, which represents 38% growth year-over-year. This was driven by strong sales execution and continued client adoption across all our products. We hope to build on this growth as we continue to find opportunities to push out more innovative products and services. Second quarter adjusted EBITDA was $5.4 million, which significantly exceeded our expectations and represents a margin of 15%. I'm happy to further report that this resulted in our return to generating positive operating cash flow this quarter, consistent with our past track record. I'm pleased with this result as it shows our progress in improving our margin profile and supports our commitment in achieving our long-term adjusted EBITDA margin of 30% in the next 2 to 3 years. We also continue to see success with upselling additional products and services to existing customers despite the elevated market volatility. This demonstrates the resiliency of our global business, which is reinforced by investment managers' appetite to continue leaning in on software to help drive further productivity and efficiency, certainly when it matters most. Our net dollar retention improved to 121.9% when excluding involuntary churn and 117.8% when including involuntary churn. We continue to see more customers embracing our end-to-end solutions by adopting new product modules, including OEMS, data and analytics. Now moving on to sales and marketing. Our go-to-market team is gaining ground in diversifying our client base. We won 50 new clients during the quarter, ending the quarter with 793 clients globally. Notably, we added 5 family offices and private equity funds in the quarter and advanced our geographic position in APAC, demonstrating our ability to win new clients across the various verticals and locations we continue to lean in on. We also continue to build on our momentum with winning larger fund managers and institutional asset managers. As mentioned earlier, we continue to secure larger 7-figure deals and for the quarter, gained 9 new institutional asset managers. These wins are a testament to the continued increasing demand from large fund managers who desire our comprehensive end-to-end technology solution. The wins are also proof points that our move upstream is working and that our ACV is on a good trajectory of rising higher. We are also displacing legacy incumbents at an elevated rapid pace. Over 70% of new client wins were conversions from legacy systems in the second quarter. This is another proof point that our strategy of winning more conversions is also working, and we anticipate that this will continue. We believe we're winning more conversions, because fund managers are focused on improving productivity and finding efficiencies while reducing total cost of technology ownership, especially during periods of uncertainty. To reorient you with what we previously stated, conversions are an important priority to us, because they tend to carry higher contract values, lower switching costs and generally fewer risks than new fund launches. Finally, we continue to see robust client adoption for our OEMS product suite. OEMS bookings more than doubled compared to the same prior period and accounted for 44% of total bookings compared to 21% in the same prior period. To reiterate, the OEMS is a critical component to our story, because it validates investment manager's demand for a purposely designed end-to-end solution as well as the mission-critical nature of our platform. The enhancements that we continue to make in our OEMS are paying off. Now let me walk you through several client wins in the quarter, which demonstrates our continued ability to successfully win larger funds, expand into adjacent TAMs, and new geographic regions consistent with our strategy. In the U.S., revenue again grew 37% year-over-year as we saw strength across all our products as well as client types. I'm pleased to announce that we won a 7-figure deal from a well-known New York-based alternative fund manager that has $28 billion in assets under management and employs multiple strategies, including debt driven, credit, debt and special situations. The fund manager was seeking to overhaul their middle and back office systems, which were comprised of a combination of in-house proprietary solutions, multiple outdated bespoke products from incumbent providers and numerous error-prone manual processes. By selecting Enfusion, the fund manager dramatically improves the middle to back office to a cloud-native SaaS end-to-end platform that not only drives greater efficiency and workflow automation, but also enables the investment manager to meaningfully reduce the demand for internal resources, realize cost savings, and meet regulatory needs. This was a significant competitive takeaway for us, because it continues to validate our ability to expand into larger funds as well as support hybrid investment models, but more importantly, this deal represents the third largest contract in Enfusion's history. I'm particularly excited about this win as it was a highly competitive 5-party bake-off process, where we replaced their in-house proprietary OMS, demonstrating our strength and customer demand for our best-in-class solutions. In addition, we also signed a $6 billion Boston-based healthcare and life science-focused institutional asset manager with a portfolio of public and private investments. The clients struggled with their 10-year longtime incumbent provider's various limitations around accounting functionality, which fostered tedious and time-consuming manual workarounds. Enfusion will provide a more robust accounting system that is scalable, incorporates an open API framework, and provides flexibility to support public and private assets. With Enfusion, the client can now focus on driving value creation while enjoying the benefits of cost savings, simplified workflows and improved productivity. In EMEA, the revenue also grew to 42% year-over-year this quarter. The strength in the region was driven by elevated demand. For example, we entered into an agreement with a London-based long-only global equity fund. The fund was seeking to overhaul their on-premises technology infrastructure to a cloud-native multi-tenant SaaS platform to cut costs, reduce their technology footprint, and simplify their investment process. The fund selected Enfusion to replace a substandard accounting solution that required multiple manual processes susceptible to errors and inaccuracies, all of which drove ballooning costs and increased compliance risks. They selected Enfusion's cloud-native front-to-back solution to not only streamline and scale their workflows, but also meet regulatory and compliance requirements. In addition, I'm pleased to announce we signed another multibillion-dollar institutional asset manager in EMEA. Enfusion platform will replace the current legacy provider's product, which offers limited functionality and inefficient processes prone to manual error and compliance risks. The long-only investment manager selected Enfusion's end-to-end product suite, including our PMS, OEMS and analytics to enable the investment firm to scale, consolidate data into a single source of truth and reduce inefficiencies. Now turning to APAC. We grew revenue by 42% year-over-year as we continue to see success in the region. Australia was a particular standout country this quarter. We recently expanded into the territory in the second half of 2021, and we are making tremendous progress. We won 7 deals in Australia, and I'm quite pleased with the results that we are seeing and ultimately, the impact we will have within investment managers there. For instance, a marquee win included 1 of Australia's largest family offices that invests in public and private assets across a diverse range of businesses, including energy, mining, agriculture and real estate. Enfusion will provide the investment firm support for its private equity investments and offer data consolidation and aggregation, managed services and our robust cloud-based end-to-end platform. Further, Enfusion will enable the company to scale while significantly realizing cost savings. We also signed a Singapore-based global institutional asset manager. By partnering with Enfusion, the fund manager revamped its outdated back office technology and its manual front-office processes, allowing the fund to scale and benefit from new functionality and features from the front office to the back. Finally, I'm thrilled to announce we won our first Taiwan-based investment manager. They selected Enfusion's PMS and OEMS solutions to upgrade their legacy technology platform allowing them to scale and expand and meet their risk requirements. These exciting global wins further validates our ability to move upstream across all regions, win more conversions and expand into new adjacent markets, all during times of significant market uncertainty. Let's move on to product and technology. As a core tenet, our teams continue to deliver innovation at a rapid pace, which I believe sets us apart from legacy providers and allows us to maintain our technological edge and expand our competitive moat. A few weeks ago, we announced the general availability of a new product called Enfusion Express. It's a new lightweight, cloud-native OEMS solution tailored to the needs of smaller fund managers that manage fewer than $100 million in AUM. With this new product, Enfusion addresses the downstream market opportunities and delivers to smaller funds, both new fund launches and existing managers, core capabilities of our flagship OEMS solution, including order management and execution, pre and post-trade activities and real-time portfolio level visibility. The distribution of Enfusion Express will leverage our partner channel, which includes prime brokers, outsourced trading desk and fund administrators. This new product is a win for our smaller client, because it not only accelerates their time to market, but reduces their operational inefficiencies and total cost of ownership. As these managers grow, they can easily find scale by seamlessly transitioning to the comprehensive Enfusion end-to-end solution. To sum it up, Enfusion Express is a strategic product launch for us for several reasons. First, it represents another proof point in our ability to more effectively accommodate downstream clients, unlock new TAM opportunities globally and address underserved areas in the market, especially smaller investment funds. Second, Enfusion Express allows us to broaden our competitive moat and deepen our partner relationships by increasing the value we bring to their clients. Finally, Enfusion Express allows us to grow with our clients and scale with our partners. I'm thrilled with this launch as we are already seeing success in the market with our clients and partners. In a rather short period of time, we have already established a motivated distribution partner and begun signing clients, which shows good signs of smaller investment fund's desire for this lightweight solution. In addition to Enfusion Express, Enfusion rolled out 564 enhancements and features across our front-to-back platform. For our portfolio management solution, we released 122 product enhancements and features. We continue to improve our OEMS solution, where we made 101 updates this quarter to improve the client experience. Moving to market dynamics. While we continue to be successful in winning market share, we are seeing lengthening sales cycles for hedge fund launches, which is largely driven by macroeconomic conditions. Despite this dynamic, we continue to see several trends in the market, which bodes well for Enfusion. First, we're seeing an increase in the market opportunity for conversions, which is a favorable trend for us. As we strategically prioritize moving upstream, our pipeline has become increasingly skewed toward higher yield and more predictable conversion opportunities. In fact, conversions now account for 75% of our pipeline activity. Further, we're seeing strength in conversions, because fund managers want to focus on improving productivity and finding efficiencies through technology transformation, especially in periods of market uncertainty. This is the heart of what we provide for our clients, delivering consolidation, simplification, efficiency and overall lower cost of ownership. While we don't know what the market uncertainty will bring, we believe that we have the right solution that positions us well to weather through the volatility. Finally, market demand for our true cloud-native SaaS end-to-end solution remains strong. Technology spend remains a priority for investment funds as they need to be able to navigate uncertainty and seize opportunity. The industry continues to shift away from disparate and on-premises solutions that are strung together to a more cloud-native, seamless end-to-end multi-tenant solution unified under 1 data set, delivering a single source of truth for investment managers. To conclude the prepared remarks, this was a solid quarter. We continue to execute on our strategy of unlocking new and adjacent TAM, expanding our global footprint and moving upstream. The results this quarter support that investment managers are continuing to embrace the cloud and digital transformation, and Enfusion continues to be well positioned to maintain its leadership in this technological shift. We have the momentum to continue generating high revenue growth, and we have a clear line of sight in achieving our profitability goals. Taking into consideration the quality results this quarter, along with what we currently know, we believe we are poised to continue delivering high growth and profitability. We continue to gain market share as evidenced by revenue growth rates and booking trends, outpacing industry growth rates, and we are excited for what's to come as we keep an eye in the evolving macroeconomic conditions. I will now turn the call over to Steve to discuss our financials.
Steve Dorton : Thanks, Thomas, and thank you, everyone, for joining us today. We are extremely pleased with our performance in the second quarter, which exceeded our expectations for both revenue and adjusted EBITDA. We saw strong broad-based trends across product lines and client segments, positioning us for continued high revenue growth and ongoing margin improvements. At Enfusion, the strength of our offering is addressing the needs of the investment managers, who are seeking cloud native end-to-end platforms, and we look to capitalize on the massive global market in front of us. In the second quarter, we generated total revenue of $36.5 million, an increase of 38% year-over-year, exceeding the high end of our guidance. The continued momentum demonstrates the durability of our business model during periods of market uncertainty. Recurring revenue was up 38% year-over-year to $36 million. Second quarter ARR, or annual recurring revenue, was up 38% year-over-year from the year ago period to $148.7 million. Net dollar retention, or NDR, was healthy and expanded in the quarter. Net dollar retention, excluding involuntary churn, accelerated to 121.9% from 115.8% in the first quarter and from 122.4% in the year ago period. Net dollar retention, including involuntary churn, was 117.8% compared to 112.1% in the first quarter and 117.9% in the year ago period. The sequential improvement in NDR is driven by clients continuing to adopt more of our end-to-end solutions, particularly our OEMS. We signed 50 new logos in the second quarter, ending the quarter with 793 total clients. We continue to see healthy demand across all our geographies and client size, particularly from higher-value conversions. I'm very pleased with the improvement with our profitability this quarter, which is another proof point on our ability to return to our long-term margin goals. Second quarter gross profit increased by 30% year-over-year to $25.7 million, which includes $341,000 in stock-based compensation, compared to gross profit of $19.7 million in the year ago period. Second quarter gross margin was 70% including stock-based compensation, compared to 74% in the year ago period and 68% in the first quarter. The sequential improvement in gross margin was by and large due to leverage in operating efficiencies from previous investments and some attrition. We were not able to hire replacements fast enough to offset the attrition. As we discussed in the previous earnings call, we expect gross margin decline in the third quarter due to backfilling positions that have attrited and normal business-as-usual increases that are in line with the growth of the business. For example, we hired a new class of recruits to join our account management team to allow us to further scale our superior client experience. Income from operations was negative $3.9 million for the second quarter compared to $5.9 million in the year ago period. Second quarter income from operations includes stock-based compensation of $7.7 million. Adjusted EBITDA was $5.4 million in the second quarter compared to $6.8 million in the year ago period. Second quarter adjusted EBITDA was above our expectations, driven by higher gross margins and improving expense management. We remain committed to prudent management of our cost structure as we continue to grow our business. GAAP net income for the second quarter was negative $4.1 million, which includes $7.7 million of stock-based compensation as compared to $4.3 million in the year ago quarter. We ended the quarter with $57 million in cash and cash equivalents. We returned to positive operating cash flow. Finally, let's turn to guidance. We remain highly optimistic about our long-term opportunities, and we continue to work hard to execute against these opportunities. We are updating our 2022 guidance to reflect the higher-than-expected revenue and adjusted EBITDA that we saw in the second quarter. For Q3, we expect revenue to be in the range of $38 million to $39 million, which represents 33% growth at the midpoint. We anticipate adjusted EBITDA to be in the range of $5 million to $5.5 million, representing an adjusted EBITDA margin of 13.6% at the midpoint. For the full year 2022, we expect revenue to be in the range of $149.3 million to $152.3 million, which represents 35% growth at the midpoint. We expect adjusted EBITDA to be in the range of $18.2 million to $20.2 million, representing an adjusted EBITDA margin of 12.7% at the midpoint. For modeling purposes, we expect stock-based compensation of $33.5 million for the full year 2022 and $6.9 million for the third quarter. Our business continues to be strong, but we carefully are monitoring the macroeconomic conditions and trends. We remain committed to achieving high revenue growth and our long-term adjusted EBITDA margin target of 30% over the next 2 to 3 years. We expect to improve our growth opportunities in the coming years. Our pipeline is robust and continues to grow despite macro uncertainty. We are moving upstream, winning more higher-value conversions, expanding geographically and upselling more of our product portfolio to our existing clients. In addition, we dramatically improved our margin profile in the second quarter. This is largely based on improving operating leverage across sales and marketing, client support, and G&A. To summarize, we are very pleased with our results this quarter. Our business model is durable despite market volatility. We continue to win larger asset managers, unlock new adjacent markets and displace legacy providers as evidenced by increased conversion wins in the second quarter. With that, we'd like to open up the call to questions. Operator, please go ahead.
Operator: [Operator Instructions] Our first question comes from Parker Lane with Stifel.
Matthew Kicker: This is Matthew Kicker on for Parker. First off, I want to talk on Enfusion Express, which seems to be a great addition for you. What has the initial reaction been to that product? And what's the competitive landscape like today?
Thomas Kim: Matthew, this is Thomas. So the initial action has been quite positive from our sell-side partners, who are acting as distribution capabilities for the offering, and then from the buy side, equally as -- so as the product is [indiscernible] into the sell side in a tighter workflow, sort of. And so there are 2 components of the offering. One is on the sell side via the prime brokerage and then the other is the sell side via their outsourced trading that offers a wider spectrum of services out to their clients. In both instances, there is a gap in the market in terms of quality technology to be able to seamlessly offer those services in an integrated fashion. We've filled that gap and we intend to continue to evolve the [indiscernible] in manner such that it has impact. And we expect that to really continue, but the reaction has been favorable. Does that answer your question, Matthew?
Matthew Kicker: Yes, it did. And then secondly, last quarter, you talked about record hedge fund inflows during Q1. Have you seen this trend continuing? And then is this trend then leading to new technology investments by tech funds? Are they holding off due to the economic uncertainty?
Thomas Kim: Well, we -- as I said earlier, we are seeing some delays in new fund launches. We're not necessarily seeing a material shift away from new fund launches or the process of evaluating opportunities to start funds. We are seeing decision-making around how quickly they move to take a little bit longer, seeing funds be -- at least fund launches be a little bit smaller. We're seeing this phenomenon globally around in the world. But I think that in line with expectations given how the macro conditions are playing itself out throughout the world. That said, we have been strategically positioning ourselves to prioritize conversions. And as such, that strategy is playing quite nicely. And we're seeing results both in our bookings where conversions are 4-plus percent of our total new wins. And even in our pipeline, we look [indiscernible], we're seeing a higher percentage of conversions within our stock of opportunities that we are interacting with. And so either way, as the inflows outflows, if you call it, for new funds plays itself out on throughout time, we still see that we're in a great position to be able to capitalize on both as we step through these conditions.
Operator: Our next question comes from Koji Ikeda with Bank of America.
Tanaka Mehta: Hi, this is Tanaka on for Koji. So NRR uptick this quarter, both including a non and voluntary churn. Just wanted to understand some of the puts and takes that -- is that like a certain type of execution investor like asset manager hedge fund that is you're seeing more traction with? And maybe on the conversion side is where any particular type of customer or maybe even family offices that you are seeing more traction. Just wanted to understand that.
Thomas Kim: Sure. Thanks for the question [indiscernible] Steve, maybe you can chime in. So we're really pleased with the progress that we're making on NRR. It represents to us the strategy, particularly around land and expand. And so across the segments, whether it's family offices, institutions, alts, we are seeing a reoccurring theme, which we talked about in previous quarters, our ability to quickly land opportunities, implement those opportunities [indiscernible] and then as clients go into steady state, begin to offer additional products and services that we continue to build on, as we continue to innovate around our clients' needs. And so the NRR across the spectrum of our clients is the presentation of that strategy actually working. And we're pleased with how that's played out as clients are more increasingly looking at end-to-end solutions across the portfolio management or construction all the way through to accounting, out to trading in real time to analytics. And then add the managed services as a bridge to the software. And so we expect that phenomenon to continue as we both bring on new clients. And as we have impact with existing clients as they both evolve businesses through the various different [indiscernible] that they will traverse to. At the end of the day, were being impactful and the NRR is just the representation that, that impact is paying off.
Steve Dorton : And to address your question on churn, today, we're seeing very little change in churn, and this has been consistent for the last several quarters. So with that said, though, we are carefully observing the macroeconomic conditions to make sure that we understand the impact that is having on our clients and our potential clients. But today, we're not seeing a change in our churn.
Thomas Kim: Does that answer your question?
Tanaka Mehta: Yes, yes, it does. And just as a quick follow-up. So for Enfusion Express, is there any change in the way you go to market this product? And do you expect like shorter sales cycles? And is there any particular type of institutional investor that is targeted towards it?
Thomas Kim: It's a great question. And so the answer is no. I mean, Enfusion Express, though a new product, falls right square in our overall strategy around [indiscernible] TAM and our footprint geographically. And again, having impact to a wider, diverse set of institutions and partners. And so the interesting thing about Enfusion Express, which we also like to engage in Enfusion flagship is really around our -- expanding our go-to-market strategy such that we are leveraging our partners to be able to keep on their distribution capabilities to have a broader reach of clients. And so really, what we're looking for is in addition to our own salespeople, we're leveraging our sell-side partners to basically have them introduce the products to their clients, which then accelerates [indiscernible] and quite frankly, the sales cycle alongside of it. And so we do expect as [indiscernible] of those clients being smaller and obviously, as a result of being smaller, much more nimble, faster to make decisions. We do expect the sales cycle to be a little bit faster. And we will work with partners. And the small funds to make sure that the experience is a rich 1 ahead of trying to move things along very fast, if that makes sense.
Operator: Our next question comes from Gabriela Borges with Goldman Sachs.
Unidentified Analyst: This is [Carolyn Valenti] on for Gabriela. First 1 for me is just on how you make decisions on where to allocate resources, especially between Enfusion Express and also then building out functionality to help with the conversion pipeline, kind of like a question how to decide between going downstream and upstream and how you prioritize those?
Thomas Kim: So it's a great question. Thank you for that. I think the overarching discipline is around prioritization and having a very disciplined approach in terms of what things we chose to do. That key is our structural advantages that sets us apart. And so everything that we have [indiscernible] will continue to do [indiscernible] all driven by our client and our partners. And the market is asking us to do to have maximum impact. And then as a business, maximum return on those decisions we make. And so Enfusion Express was another 1 of those where we both had an elevated level of requests from smaller funds. We come [indiscernible] coupled with an elevated level of requests from our sell-side partners who are looking for more integrated capability so that they can offer [indiscernible] more to their clients. And so the priorities that we -- that we [indiscernible] undergo is largely factored on what our clients and our partners are looking for, and we'll continue to operate in that way. Does that make sense?
Unidentified Analyst: Yes, perfect. And then a follow-up, just can you go into a little bit more detail on the increase in NRR, quantitative or qualitatively, how much of that's from OEMS additions, price increases, expanding existing clients and any other potential factors?
Steve Dorton : Yes. So the net dollar retention is primarily around more and better adoption in overall attributes, right? Now we did start to have CPIs indices in Q2 and that made up a little less than 1 point of that increase. And then we -- but the rest was really continued adoption from our existing clients as time has gone on.
Operator: Our next question comes from James Faucette with Morgan Stanley.
James Faucette : Thanks for the call this afternoon. I wanted to dig in a little bit into bookings and really appreciate the incremental disclosures around the composition of those. If I remember right back around the time you IPO-ed, you talked about roughly 60%, 6-0 of bookings were attributable to conversions, whereas in the most recent quarter, it was up to 75%. How do you think about progress there? And is there any seasonality that we should be aware of in the 2Q figure and how that metric has performed over the last few quarters?
Thomas Kim: Thank you for the question. And so I think the progress sort of [indiscernible] in terms of the results that are showing in the second quarter from the perspective of we're seeing positive momentum in diversifying the mix of [indiscernible] that we have, leaning in hard on larger fund managers across the different segments, and that's working. And so the investments that we have made both technologically and from an operational excellence perspective, it's all leaning in to basically produce an outcome where it's moving in the direction where we want it to. And so my expectation, global macro conditions provided, is that, that will continue as more and more firms or funds catch on the benefits that we have to offer. I can't remember the second question. Could you -- would you mind saying that again?
James Faucette : Well, I was just wondering how that metric had evolved over the last few quarters?
Steve Dorton : I mean as in 2021, it became a majority conversions and asset managers became a majority of our bookings, and then since then, we have seen that continue to grow to the levels that you're seeing it here. So it was not just a 1 quarter pop, but -- over the last 3 to 4 quarters, we continue to see conversions and asset managers become a larger percentage of our bookings over that time period.
James Faucette : Got it. And then I just wanted to ask kind of a somewhat of a competitive landscape question. I think you guys had announced that you had an early on in a partnership with Coinbase, but we've seen some recent headlines around BlackRock and Aladdin, Coinbase partnership. Can you just talk a little bit about what that structure is? If there's any impact to your opportunity or if that was much of an opportunity? Just trying to understand a little bit the composition of those relationships as far as you understand them.
Thomas Kim: Sure. So I don't have much to say about Coinbase, BlackRock other than it was good to engage with Coinbase early. And it's good to be validated at some level by the fact that, that decision to engage Coinbase as a partner for the broader crypto landscape was 1 that was the right thing to do given what we're seeing others sort of pile in on. And so that was a little bit of a validation that we didn't necessarily need, but was good to see. We still remain very excited about our relationship with Coinbase and the opportunities to really work together to have impact across asset managers and alts across the board. And so we're just excited to continue working with them. And we're excited to see basically -- despite crypto winter, we're excited to see others recognize that this is an opportunity to do more in that space, and we'll continue to look at that carefully as we step through it.
Operator: Our next question comes from Dylan Becker with William Blair.
Faith Brunner: It's Faith Brunner on for Dylan. A couple of questions for you. First off, just as customers look to deliver operational efficiencies, given the margin compression we're seeing, how valuable is the visibility that's afforded by your platform? And how do you see this contributing to deal momentum as you move like both upmarket and within your existing base?
Thomas Kim: It certainly does help us in terms of the momentum that it creates within our pipeline and our discussions with those opportunities, right? When you have motivated organizations, that have a very specific problem to solve, particularly during times of uncertainty that we're navigating through now, the conversation tends to be very sharp and very to the point. And so it helps that from a competitive landscape perspective, we are cloud-native SaaS and quite frankly, the only multi-tenant offering on an end-to-end basis, where all of those things come together to produce an opportunity, we can drive down operational costs and total technology cost of ownership. And so those things and the relevancy of the technology and the simplification that we offer, are driving factors for those opportunities and the problems that they're looking to really address right now. And so it does act as a bit of a tailwind in the discussions that we're having. That said, we're watching those conversations very closely connected to sort of how the broader market and macro conditions are basically evolving as we step through it. Does that answer your question?
Faith Brunner: Yes, super helpful. Also then just a quick follow-up, as you move upmarket. Can you talk about any differences in approach relative to like your go-to-market strategy? Is there any like key differences in purchasing behavior or priorities relative to your more hedge fund base?
Thomas Kim: I think that we're -- overall, I'm really pleased with the go-to-market strategy more broadly. And so we're not changing much of our strategy in terms of how we go to market, how we talk about our products and services, because I think the core of what it is that we offer has been relatively universal both in bull and bear markets, and that sort of what makes us unique in terms of our value proposition. It's not -- it doesn't favor 1 or the other. It's just impact that we're able to have across the different conditions. And so our go-to-market strategy has roughly stayed consistent. Obviously, we evolve that as we learn more about what people are looking for and generally speaking, it's been pretty consistent, and the results are an example of the outcomes of that. In terms of sort of market reactions to the -- their decisions. Listen, I think that everyone is navigating through the times carefully. And we're just alongside of them to make sure that we're being as impactful [indiscernible] as we can. And we like what we see, particularly around the fund managers and the conversions. And when the market turns and the new fund launches pick up, we expect to be right there and continuing to dominate in that space, which tends to be high velocity. Does that help?
Faith Brunner: Yes, perfect.
Operator: There are currently no further questions in queue. [Operator Instructions] As there are currently no further questions in queue, I will pass the conference back over to Ignatius for any additional or closing remarks.
Ignatius Njoku: Thank you all for taking the time to join us today. We appreciate all your support and continued interest. And we look forward to continuing the dialogue. Have a wonderful day.
Thomas Kim: Thank you, everyone.
Steve Dorton : Thank you.
Operator: That concludes today's Enfusion's Second Quarter 2022 Earnings Call. Thank you for your participation. You may now disconnect your lines.